Per Widerström: Good morning, everyone, and thanks for joining us today for our H1 2024 results. I am Per Widerström, and I've now been the CEO of Evoke for 10 months. We already gave you the key headlines of our first half in our trading update a month ago, and the actual numbers for H1 are exactly in line with the guidance we gave. So, we are going to keep today fairly brief. I will start with a short summary, including the actions we are taking to address performance, including details of our current trading, before Sean walks through the financials. And then, I cover our strategic progress, before taking your questions. The first half financial results are exactly in line with our trading update announcement a few weeks ago, but let me start by reiterating what I said before, that these results are disappointing and are not acceptable. We understand exactly what went wrong and we have taken corrective actions to address the problems. This is what I will take you through in more detail shortly. We are seeing good traction from our decisive actions, and I'm pleased to say that Q3 to date is in line with our 5% to 9% growth targets. We are laser-focused on delivering our commitments for H2 and we have implemented a number of tactical actions focused on short-term performance turnaround to ensure we deliver these targets in the second half. But be in no doubt that the actions we are taking are much more significant than this and are much more strategically positive, focus on our value creation plan, and setting up the business for the longer term. We are seeing steady improvements in our run rates, but I'm really excited about our growing capabilities and what this means for our future profitability. Turning to Slide 3 and to cover current trading and what we are seeing and expect to see in the second half. There is a short summary on the page on what we covered in our trading update around why the H1 performance was behind the plan and actions we have taken to address it. You can also see some of the wide range of initiatives and improvements that we'll be landing across the second half, in particular the improvements in our products, the way we do customer lifecycle management, and our overall customer value propositions. These are fundamental shifts that will drive significant longer-term benefits, but we also expect to see some immediate uplifts as things lands during the course of the second half. We have already made several changes in the past few months to address short-term performance and drive improvements. It's fair to say that a lot of the real exciting initiatives are still to come in Q3 and Q4. In terms of what we are seeing in the business right now, both the end of Q2 and start of Q3 have seen strong underlying progress in our year-on-year growth rate and revenue growth in Q3 up to the 10th of August is consistent with our 5% to 9% growth target range. The period benefits slightly from the timing of the Euros, but the main driver of growth has been strong trends in our core customer cohort of mid-value customers and also strong ongoing growth in online gaming in our core markets. This is really the heart and engine of the business. So, it's pleasing to see this is where the growth is coming from. With that, I'm going to hand over to our CFO, Sean Wilkins, to run through our financials and wider outlook first. And then, I will come back to expand on some of these strategic changes we have been making.
Sean Wilkins: Thanks, Per, and good morning, everyone. I'm Sean Wilkins, the CFO, and I've now been with the business for six months. This is a hugely exciting time for the group as we are undertaking a total transformation of the business. This will deliver stronger revenues, stronger growth, higher margins, and more sustainable market-leading positions. As with any transformation of this scale, the route to success is never a straight line. We had some successes and some challenges in the first half, and the results you can see on Slide 5 of the first half are not where we wanted them to be. We already provided the main financial headlines last month, with revenues down 2% and an adjusted EBITDA margin of 13% to 14%. So, there are no surprises here. As we discussed in the trading update, we didn't see the returns we expected from our increased marketing investment. And with the operational gearing in our retail business, this meant that the adjusted EBITDA of £116 million was about £35 million to £40 million lower than we had expected. This is what we explained in our post-close trading update in July. In the appendix of this presentation, there are some more slides on the reported results, including details of the exceptional items and adjustments, being mainly the purchase price allocation, amortization, integration costs, and the U.S. termination fees already disclosed. What we will cover in more detail today is that the first half is not reflective of all the actions we've taken to secure our performance in H2 and beyond is much stronger. I'll talk a bit more about this after covering our cash flow. Turning to Slide 6 and our cash flow. Net cash, excluding customer balances, dropped by £12 million in the half, resulting a net debt of £1.73 billion. Given the phasing of our marketing investments and cost savings, our adjusted EBITDA on an LTM basis reduced from £308 million at the end of December to £268 million at the end of June 2024. This means that the leverage increased from 5.6x to 6.4x. Alongside this drop in adjusted EBITDA, you can see we paid out over £50 million for exceptional costs in the first half, which is driving the small cash outflow. This includes significant items like costs to exit our U.S. B2C business, which will deliver clear and higher returns in future periods. We expect this increase in leverage to be temporary and expect leverage at the end of 2024 to be much closer to where we began the year. Looking forward, we plan for rapid deleveraging to our 2026 target of below 3.5x. It is important to note that despite profits being below our plan, the business remains highly cash generative, with almost £79 million of underlying business free cash flow in the period. We also have really strong liquidity, with nearly £300 million of total liquidity at the end of June. Turning to Slide 7, I'd like to provide some more details on the improvement in profitability that we expect in the second half. As Per already said, the actions we have taken have driven an improvement in our trading. We are pleased with the improving momentum in our revenue run rate. This chart walks through the main bridging items from half one adjusted EBITDA of £116 million to our half two guidance of £185 million to £195 million. Marketing phasing will add £35 million to £40 million. We significantly increased our marketing in the first half and are seeing some of the benefits of this in our improved run rate into half two. The lower marketing spend in H2 will be a marketing ratio of around 18% to 19% of online revenues, which we see as a more normal rate than the elevated 25% in half one. The phasing of employment costs will add £5 million to £10 million in H2, given the full half impact of actions taken during the first half to improve our operating model. Revenue initiatives will add around £15 million to EBITDA. We have a deep pipeline of initiatives here, some of which Per talked through. We have completely changed the way the finance function supports the business in tracking and driving business. Each of these initiatives is tracked individually, enabling the business to take corrective actions to ensure we're hitting our financial plans. An example of a new initiative which is driving improved revenue and profitability is our recently launched upgraded Betbuilder. This has made it much easier for our customers to place combination Betbuilder bets. With a high-quality product in place, we then skewed the marketing and promotions towards this in the Euros and into the start of the new football season. This new product drives both revenue and profit uplift on its own as more players can place the bets they like, and also increases the efficiency of our marketing and bonuses as we are able to promote a really attractive product. As you know, we are in the process of selling and closing our U.S. B2C business, and this will add a further £4 million to EBITDA in the second half. Finally, we have taken a range of additional cost initiatives, which will save a further £10 million in H2. One of the key learnings in my first six months in the role is that we have loads to go for on the cost side. We continue to see a wide range of manual processes, duplication and inefficiency in our cost base. This ongoing work will lead to a structurally lower cost base, with further annualization impact into 2025, giving us confidence in our 2025 plans. Finally, on Slide 8, a quick update on my financial priorities that I outlined at our full year results. Firstly, we are driving and embedding a cultural shift in the business. This is all about a shift in mindset to deliver value creation. I have quickly restructured the finance team to set a structure that will support greater rigor of our plans and provide greater support to our decision makers and drive high returns. We built rigorous daily, weekly and monthly tracking and increased our reforecasting cycle to monthly to ensure that we can be more accurate and confident with our forecasts. Each element of our plan is tracked and monitored to ensure we are delivering. This enables the business to take corrective actions if we are off course and to quickly scale up investments where we are over-delivering. Secondly, resource allocation is fundamental to creating value. We are in the process of exiting the U.S. B2C business and have made structural changes in our approach to marketing and product investments to drive higher returns through pursuing our strategy. Thirdly, we are making strong progress with our efficiency and operating leverage. We continue to take cost out of the business following our strategy to deliver a more targeted business, investing in the right products and brands in the right countries. We are building a more scalable, more efficient business powered by intelligent automation and AI. I'll now hand back to Per to provide some more details on how we have set up the business for success in H2 of this year and beyond.
Per Widerström: Thanks, Sean. Turning to Slide 10, this is a reminder of our commitment to shareholders to create value. As we outline today and our trading update last month, we are not happy with the financial performance in the first half. The scale of transformation is significant and it is needed for us to deliver a short-term trading turnaround as well as ensuring long-term profitable growth and value creation. Our value creation plan does not change. And with the structure improvements we have made in the business, I'm even more confident about our plan to create shareholder value. Turning to Slide 11 with a reminder of our strategy. This is a complete reset of the business built around a clear and compelling strategy. We know where to invest in our core markets and we know how to invest and how to win customers in these markets. During the first half, we have made strong progress with our strategy, building an almost completely new team; new modus operandi, ways of working; and our clear strategic framework to guide the success and value creation of the business. There is, of course, lots still to do and I will not rest until this business is performing the way it should and can do. But I'm really pleased with the progress we have made here to set us up for profitable growth in H2 2024 and beyond. Turning to Slide 12, and just to reiterate and expand on some of the changes we have been making to transform the business. Our first competitive advantage we are investing behind is operational excellence driven by data and automation. We have hired a world-class team for data, intelligent automation and artificial intelligence, who are already driving a step change in our capabilities. We have become much more sophisticated in our play segmentation, enabling us to provide better products and promotions to our core customers who value them the most, driving retention, loyalty, and also higher player values. These improvements are enabling us to do more with less, delivering £30 million of cost savings while providing better outcomes for our customers. And we are already seeing tangible short-term benefits here to our run rates, with an improvement in, for example, our bonus ratios. Our second competitive advantage being invested into is our winning culture. We rebranded the group as Evoke, a critical step to bring together our business into one company focused on execution of our strategy. We have an almost entirely new executive team, bringing in leading talent and experience from inside the sector and outside, as well as strengthening the wider leadership community. And we have radically restructured operating model, removing layers and broadening spans of controls, getting our people across the business closer to the customer and speeding up decision making. Our third competitive advantage we are investing behind is our leading distinct brands. We have relaunched Mr Green as the most distinctive casino brand in the market and we are repositioning William Hill with successful campaigns now being based around, for example, top prize guarantee in racing and top prizes on [indiscernible] and football, and gradually shifting our marketing focus from pure promotions towards highlighting our product excellence. Our investment in our competitive advantages and value creation is underpinned by our six strategic initiatives. These initiatives are fundamental to creating a leaner, more profitable business with investments in capabilities that are enabling us to win customers and win in our target markets. Put simply, we have taken decisive actions to ensure we hit our plans for the second half, and we are making significant structural improvements in our business to ensure we create a better, more profitable business for the future. Turning to Slide 13 and how our actions and priorities are both delivering short-term trading improvements while at the same time, building significantly enhanced capabilities for the future. We will deliver 5% to 9% revenue growth in H2 2024. We are already seeing the benefits of our short-term changes, which include the benefit of new product launches like the Betbuilder, with further new product launches and UX enhancements coming in the next few weeks. This is enabling us to be much more laser focused with our personalized promotions and more effective with our marketing as we highlight the benefit of our leading products rather than just giving free bets. These capabilities will grow substantially in the long term as we roll out our automated customer lifecycle management model, which has already been well under development and will lead to a step change in retention and monetization as we deliver our strategy to give customers a personalized experience delivered by our clear premium brands. Stronger revenues will be magnified for profitability with our more efficient cost base. The second half of this year will benefit from the full £30 million cost savings plan that we announced at the start of this year, the benefit of reducing losses from our U.S. B2C exit, and lower marketing ratio with our more targeted marketing. Over the long term, there is substantial upside potential for our profitability as we capture the benefits of our strategic initiatives. Evoke is becoming a business with leading scalable technology powered by AI and intelligent automation, with a winning organization operating with pace, decisiveness and urgency to deliver improved profit margins. And finally, deleveraging will enhance our return on equity. As Sean mentioned, while leverage is temporarily elevated in the first half, we see a clear route to rapid deleveraging, which will deliver high shareholder returns. Thank you for your continued support. And we are now ready to take your questions.
A - Unidentified Company Representative: Thank you very much, Per and Sean. We have our first question on the webcast from Ciaran O' Flynn from Davy. He asks, "Can you provide more detail on the impact of Euro 2024 on current trading?"
Sean Wilkins: Yeah. Thanks. I'll take that one. It's Sean Wilkins, CFO. On the Euros, we had very strong margin bookie-friendly results. To a certain extent, that suppressed staking, but overall, it was very successful for us. Betbuilder, which we relaunched shortly before the Euros, was extremely successful during the time. We're taking over 20% of staking. And that means that we're well set out for the new football season, as it's launched over the last 10 days or so. And we launched the Premiere League this Friday. Just one point to note on that. The bookie-friendly results were very much in June, so in the first half. In the second half, i.e., in July and the second half of the tournament, I would say that that was fairly neutral to growth in the second half. So, when we talk about being in line with our targets of 5% to 9% for the second half to date, that doesn't really benefit very much at all from the Euros.
Unidentified Company Representative: Thank you. And the next question comes from Eleni from Sona AM. "Could you clarify what percentage of growth came from the Euros in H1? And what are the key events in H2 that can help you achieve the 5% to 9% growth target?"
Sean Wilkins: So, let me take the first half. I mean, we haven't disaggregated the growth into Euros and other. It's not something that we are disclosing. I did just say that we got good bookie-friendly results. And obviously, England doing well helped. But yeah, so I think Per is going to take the second half of that question.
Per Widerström: Yeah, if we look at H2, we are very much looking forward to also come back later on in terms of how we deliver. But if we look at H2 and the revenue initiatives we do have, I would like to distinguish between two dimensions. First one is the short-term turnaround that we are absolutely all over. And that is about making sure we are focused on our core markets. We are all over when it comes to the bonus efficiency, the improved price positioning, as well as how we are upgrading. And I would say when it comes to customer segmentation, much more sophisticated than this company has ever been before. So that, I would say, is, the short-term drivers when it comes to the H2. But when it comes to the more structural improvements that will also have an impact for the H2 revenue impact that will be customer life cycle management, which is a big driver. And that is going to enable us through the introduction in new customer engagement platform, Bloomreach, to introduce further personalization. And on top of that, we are optimizing how the customer journeys in order to, for example, improve deposit UX. A very important part of the structure change as well is what we do on a customer value proposition CVP. We are seeing a step change now when it comes to the consistency. If we take now William Hill here in U.K., we are consistent in our messaging in terms of the proposition, a pricing perspective as well as from a product perspective. And here, we are absolutely focused on the mid and high-value players. And third dimension, when it comes to the structural change we see that will also have an impact in the short term are the product improvements. It has been mentioned before, but very encouraged to see the impact we have from Betbuilder, also the impact we have on when it comes to improve deposit UX. But going forward now for the H2, there are some really exciting launches to come. By looking at the further improvements of the Betbuilder, we're looking at the impact sub to be introduced. I've mentioned the deposit UX. We will continue but absolutely focused on ensuring a fairly seamless experience from a customer journey perspective. From a retail perspective, we are continuing our efforts when it comes to improving experience when it comes to SSBTs. And as has been previously mentioned, starting Q4 this year and into Q1 next year is the retail gaming machines upgrade that is going to have a material impact when it comes to our opportunity here and commitment to close the gap versus competition. I think we've mentioned that before as well. If we look at the current gaming machines that we do have that as a gross per machine a week by £750 where we look at where market is and also where we expect to be about £1,000 per week. So, we are very much looking forward to these launches and also see the revenue uptick being materialized as well.
Unidentified Company Representative: Our next question comes from Ruchi from Western Asset Management. "Can you please update if you had to have conversations with rating agencies post revision of earnings outlook for this year? It will be useful if you can share any feedback you've received. And then, the second question is, can you also guide on working capital and CapEx development in H2?"
Sean Wilkins: Yeah, thanks. Let me take that. We've got a very positive ongoing relationship with the ratings agencies. And it would be inappropriate for me to share any of the content of that relationship here. Just looking at cash flow, first half net working capital we saw £23 million improvement in cash, an improvement in net working capital. Guidance for the second half is that, that will be neutral. On CapEx, the first half was £33 million. The full year, we're expecting to see £75 million to £80 million, which was exactly in line with the guidance that I gave earlier in the year. Just let me give you an update on overall on cash flow. In the first half, we saw a cash burn of £37 million, that's ignoring the RCF. In the second half, I'm expecting cash to be neutral, which means that for the full year, I expect that cash burn to be largely what it was in the first half, roughly £40 million out. It is important to remember our liquidity. I think liquidity is at roughly £300 million, so no concerns at all on liquidity.
Unidentified Company Representative: Great. The next question comes from Richard Stuber from Deutsche Numis. "Could you please elaborate on strategic progress making on the 40% of international online you define as optimized? And what percentage of international revenue do you expect to come from these optimized markets in the next 12 to 24 months? And the second question is, which of your core international markets were the key drivers of international growth? And do you expect these trends to continue?"
Per Widerström: If I take the first one to the strategic progress, we are absolutely focused on the core markets, but those are the four that have previously communicated. And when it comes to the -- and there we do aim for obviously, podium positions for the local strong scale. The optimized market is, as we say, optimized. And that's a clear focus to drive underlying cash flow, maximizing the underlying cash flow, where we obviously see that where we have opportunities to scale our resources, we will do that, but with a very strict and disciplined approach when it comes to return on investment. So, in terms of the short-term trading turnaround, we are absolutely adamant to be, very disciplined when it comes to the return on investment in those optimized markets. The investment we do behind our competitive advantages when it comes to, for example, our customer life cycle management, much more insights driven automated customized cycle management, the way we do when it come -- the way we're focusing product improvements, that will also benefit the optimized market. So, from a strategic perspective, daily trading is very much now in line with the strategy. When it comes to the capabilities that we're investing in to shorten also mid- and long-term future growth, it will also benefit these optimized markets. So, very encouraged with what I see now when it comes to a new team that we have, managing and optimizing these markets, at the same time, capitalizing on the improvement we see now in terms of capability. And also, where we do see, as I mentioned, opportunities scale up, where we do see some really interesting and encouraging markets, there's nothing to say here that some of those market that should be upgraded to core markets going forward.
Sean Wilkins: Thanks, Per. Richard, just in terms of the percent that we -- I think the question was what percent of our international revenue comes from our core markets. That's not something which we give out specific guidance on. Like, it would be a sensible sort of rough figure if you think about this over 50% comes from core. And obviously, core is growing significantly faster than optimized.
Unidentified Company Representative: The next question is from Ed Young from Morgan Stanley. He asks, "Could you give some color on current trading? Should we understand that you are already in the range for H2 or that's incremental improvement from Q2 put you in place to deliver it?"
Sean Wilkins: So, I think what we said in the presentation was that we've seen trading to date consistent with 5% to 9%. Just to be clear, that's not us trying to be smart with our words. We have seen in the first part of half two growth of between 5% to 9%. So, it's entirely consistent, it is within that range.
Unidentified Company Representative: Great. And then, our next question is from Nicholas from CIFC. "You mentioned revenue growth in Q3 up to the 10th of August is in line with your 5% to 9% target. How is profitability during this period looking compared to 21% margin guidance?"
Sean Wilkins: So that's not something that we would disclose at this point, but it does give me an opportunity just to go back to Slide 7. Slide 7 talks about our bridge from half one to half two. And I think one important thing to bring out on that is that four out of five of those blocks are things which are entirely under our control or that have been delivered already. So, if you look at marketing phasing, that is the marketing phasing that we plan. And it is the cost that I expect in the second half. On the OpEx phasing, they are cost savings that have been made already and will flow through in the second half. Look at reduced U.S. losses. We've taken the action on reduced U.S. losses. And if you look at the cost initiatives, there are things that we will be delivering in the second half. The one that has a wider range around it is the revenue initiatives, which -- and I think it would be fair to say the thing that we have very good line of sight to is what -- which of the things that Per mentioned earlier are going to land. The more speculative question is what effect and impact are they going to have once they land. So, good visibility of that bridge between half one and half two is the point I wanted just to make.
Unidentified Company Representative: We have another question from James Wheatcroft from Jefferies. He asks, "Please can you give us an update on 888 Africa?"
Per Widerström: So, thanks for that question. So, let me take that one. On 888 Africa, I mean it's a fantastic story today. We see the business going from strength to strength. The first half revenues, is up nearly 3 times. And we do continue to see really strong leading cases when it comes to the future growth. So here, I and my team are absolutely confident that this is going to be a very strong value generator for Evoke going forward. And I do look forward to expand on this further in our coming, upcoming sessions.
Unidentified Company Representative: Thank you. There are no further questions from the webcast. So, I'd like to hand back to Per for any closing remarks.
Per Widerström: Thank you so much for that. So first and foremost, I'd like to thank everyone for joining in the call. And as we have outlined and presented today, we are undertaking a total transformation, a total reset of the business. And while the first half financial results are not where we wanted them to be, I've been really pleased with the improvements we are seeing now, both in the short term and building up for the long term when it comes to overall strength of the business. So, we have started Q3 well with 5% to 9% growth, and I can't wait to tell you more about this quarter back in October. So, I would like to thank you again for your ongoing support. And we are always available to answer any further questions, but let's be absolutely clear that we are 110% focused now to make sure that this turnaround is indeed going to be the success we expect it to be in order for us to deliver, once again, the value creation plan and ultimately, shareholder value. So, thank you so much to everyone joining in the call today.